Operator: Welcome to Aixtron’s H1, 2014 Results Conference Call. (Operator Instructions). Let me now hand you over to Mr. Guido Pickert, Director of Investor Relations at AIXTRON, for opening remarks and introductions.
Guido Pickert: Thank you, Operator. Thank you everyone for attending today’s call. Let me start by welcoming you all to the H1 2014 results call of AIXTRON SE. I would like to welcome our President and CEO, Martin Goetzeler, you additionally took over the CFO responsibilities after Wolfgang Breme left the company in May. As a result he will also present the financial details to you today. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcast without expressed permission. Your participation in this call implies your consent to this recording. As with previous conference calls, I trust that all participants have our results presentation slides, page two of which contains the usual Safe Harbor statement. I will therefore not read it out loud, but would like to point out that it applies throughout this conference call. You may also wish to have a look at our latest IR presentation, which includes additional information on AIXTRON’s markets and its technologies, and is available on our website. This call is not being immediately presented via webcast or any other medium. However, we will place an audio file of the recording or a transcript on our website after the call. I would now like to hand you over to Martin Goetzeler, AIXTRON’s President and CEO, for opening remarks. Martin?
Martin Goetzeler: Thank you Guido and thank you all for joining the AIXTRON 2014 first half results conference call. Let me start this presentation by giving you an overview on the current market environment before elaborating on the most important aspects of our half year financials. I will then close the presentation by discussing our prospects for the rest of the year and beyond. During our Q1 call on April 29, we shared with our belief that the LED adoption with general lightening was accelerating and that we have seen the bottom of the LED equipment cycle. The good news from the LED lightening market is that the adoption is continuing to accelerate thanks to ongoing LED product price reductions, the phasing of (indiscernible) across many part of the world and increasing capital activity to energy efficiency and environment. Recent quarterly numbers from companies such as Global Leader, Philips showed impressive growth at 43% year-over-year. This is in evidence of a strong sale in the distribution channels such as warehouses and stores especially into regions such as China. The strength of the sell-out into the end markets will determine the real dynamics of the industry. Nevertheless market research firm such as IHS as of June 24, 2014 estimated that the growth in LED volumes for general lightening will increase by 33% per year until 2020. By that stage the majority of global spending on lightening will be on LEDs. This is a substantial opportunity for AIXTRON and we believe that we’re well positioned to take advantage of the upcoming capacity expansions which will be needed to meet rising demand for LEDs. Many of our customers particularly in Taiwan, China and Korea have been reporting very high utilization rate which is essential because of to any capacity drive pickup in equipment demand. That said capacity utilizations have been high for some time, but the difference now is that we’re seeing increased customer relationship. At this stage discussions with customers suggest that order activities could pick-up sometime over the coming quarters. Also at this stage we see a larger capacity expansion in activity driven mainly by our largest customer. Independent of the speed and extent of such pick-up we do feel well prepared for any scenario of demand development. At the same time we’re much focused on bringing our next generation MOCVD platform to market which we believe will provide our customers with a competitive value proposition and a substantial cost advantage. The new tool will also provide basis for our come back in the mixed LED equipment up cycle. In our last conference call, we also shared with you that our expectation that revenues for this year would be in-line with those of last year and that with AIXTRON not being profitable on an EBIT basis over the course of the whole year. The good news is that customer interest and their inquiries on the next generation tool are increasing so it's reflected up to now in the quarters as a new R&D profitability. Beyond our improving outlook in the MOCVD for LED technology we have continued to push the development of our other core technologies that we have in the portfolio. Our position in MOCVD, the power electronic application continues to develop well and orders and revenues are contributing to the overall business. Additionally, the development MOCVD for logic [ph] application is advancing as planned. In the OLED area we received good customer feedback on the eMOS produced on our R&D cluster. We believe a market potential is substantial and we’re in the process of scaling our technology up to industrial levels. The development of our Gen8 demonstrator to boast the scalability of our deposition technology is on track. With our LED deposition solutions for memory applications we’re seeing further progress and the qualification process of our technology as additional memory players. We’re currently qualified as one major memory global player and are generating revenues following the customers CapEx plans. We continue to regularly shift R&D tools from the position of carbon nanomaterials including grapheme which also is in early R&D stage for significant market. In summary, this gives us confidence in our short, mid and long term market position. Let’s now move to slide 3 of our Q2 results presentation, the income statement. In Q2, we generated €46.2 million in revenues which were 2% about the same quarter last year and up 5% on the previous quarter. In addition order intake was up again slightly on the previous quarter to €38.2 million making this a conservative quarter with rising quarters. This can be clearly seen in LED equipment revenues for Q2 which came in at €27 million the highest level in over a year and half and over 15% ahead of the €23.4 million recorded in the previous quarter and over three times above Q2 last year. On the regional basis, 80% of total revenues in Q2, 2014 were generated by sales to customers in Asia primarily from China, with Europe representing 15% and the United States 5%. On the earning side the net result for the second quarter was a loss of €11.6 million which is slightly below the €11.7 million recorded in the previous quarter. The quarter in loss was directly related to the low sales volumes but also to an increase in R&D expenses primarily in relation to the impending launch of our next generation MOCVD tool platform. In the second quarter R&D cost amounted to €15.5 million which was up 13% approximately from the previous quarter. We made further progress in SG&A expenses which came down 13% from 9 million in Q1, 2014 to 7.9 million in Q2, 2014 significantly below 2013. Gross profit in Q2 amounted to €12.6 million which represents a 27% gross margin. This is a splendid improvement over the previous quarter of 25%. We’re working diligently on implementing measures to further improve our profitability as part of our five point program. We recently started Phase II, we’re convinced that the new product launch at our management of our supply chain, our continuing cost reduction initiatives will allow us to improve gross margins next year. With an OpEx we continue the execution of our initiatives on process efficiency and discretionary spending. Since we’re driven by innovative we target further improvement of efficiencies by reducing project cycle times in R&D. Overall they support our target of now lower OpEx to annual levels of around €18 million. Let’s now move to the next slide which shows our balance sheet. Despite the losses we have incurred AIXTRON continues to have a strong balance sheet with no financial debt and equity ratio of 82% and cash and cash equivalents including cash to positive totaling €275.6 million. Of this amount under €52.8 million was invested in other financial assets which is cash on deposits with the maturity of more than 90 days. Our lower cash position is the reflection of the operating losses as well as scheduled increase of inventories for MOCVD tools including spares. This can be clearly seen in inventories which increased by 9.8% to €72.7 million as of June 30, 2014 compared to $66.2 million as of December 31, 2013. Our current liabilities decreased from €95.4 million at the beginning of the year to €93.6 million at the end of June 2014. While the advance payments from customers increased to €51.1 million by the end of June from €46.2 million at the beginning of 2014, provisions decreased from €32 million at the beginning of the year to €24.7 million at the end of June. This was mainly due to the progress in connection with the 5 Point Program. Let us now have a quick look at our cash flow statement on the next slide. Please let me highlight our free cash flow which came in at minus €17.5 million and is lower than the €13.8 million of free cash of the previous quarter. As already mentioned main reasons for this development of losses in Q2, 2014 as well as this carry out increase of inventories. Now let me give you an update to our expectations in the 5 Point program on slide six. Despite the improving sentiment of our customers we see revenues for the current financial year being in line with those of last year and at the same time we do not see the company in profitable on EBIT level at EBIT basis over the course of the whole year. That said we do see 2015 potentially becoming a better year not only for AIXTRON but for the MOCVD industry [ph] and also it is too early to exactly determine the expense of $0.02 [ph] higher demand in 2015. We believe our next generation MOCVD product will put us in a strong position to meet growing demand. This is evidenced by increase in inquiry levels for our next generation tools as well as a positive feedback from our customers. And as I said before we expect to shift next generation tools until the end of this year. AIXTRON’s easing position into position equipment is based on 30 years of sustained and continuing investment in R&D and we see AIXTRON not only in growth position in the LED market but also in other areas such as semiconductors, organic semiconductor and other compound semiconductor technologies. I can only reiterate what I have said before and what drives us. Technology is our passion, innovation, our DNA. We’re committed to our core expertise and are well placed into our market driven R&D focus as well as our much improved customer and sales service organization. We think the combination puts us in a competitive position for the future. At the same time we have entered Phase II of the 5 Point Program which is clearly targeting our return to sustainable profitability. We’re therefore focusing on the reduction of material cost and discretionary spending as well as a further optimization of processes. We have for instance initiated a specific design to cost program in order to reduce material cost on a continuous basis. This 5 Point Program which we began to execute on over a year ago has already strengthened our relationship with customers in various target market and reduced our annual operational cost base below the targeted €100 million. As we mentioned we now target OpEx of around 80 million per year in 2015 by further reducing our cost as illustrated in the chart on this slide. At the same time we have to retain our innovation power by further strengthening our process and project efficiency. Finally we continue to have a strong balance sheet with our more than €275 million in cash and dividends at the end of Q2 with no financial debt. We have a great team. Trust among our customers has been revitalized successfully and we have a competitive new MOCVD offering which are our major key ingredients for our future success. With that I will pass you back to Guido before we take some questions.
Guido Pickert: Thank you, Martin. Before we take the questions, I could ask everyone again to limit your questions to maximum of two each time. This will allow everyone to have a chance to have their questions answered. Thank you. Operator, we will now take the questions.
Operator: (Operator Instructions). And the first question comes from Janardan Menon from Liberum Capital. May we have your question please.
Janardan Menon – Liberum Capital: I have two questions, one is given your comment that you got a positive feedback from customers for the new MOCVD tool that you have in qualification. What do you think are the chances that you could at least stop any further erosion of market share in the next cycle and would you think there is a possibility that you could actually see some reversal of that trend and see some gains of market share over to 2015 – 2016 and my second question is actually on your cost reduction program. Is there a target date set already or the €80 million of OpEx and if so what is that and can you give any indication on where gross margins could go to with the Phase II program that you’re going to take? Thanks.
Martin Goetzeler: I think I mentioned that a couple of times also in these calls that it's clear for us if you talk about MOCVD market for LED that was a next generation of tools we basically expect that we would see a comeback in market share and that’s exactly what we’re targeting for and clearly on a positive basis. Having said this I think this was only one part of what we did over the last year. I don’t know if you followed the call in the past we have basically many different actions and just different introduction – of the key customer satisfaction manager who really worked closely with our customer base, our strengthened team in service and sales but also for example in China really to use all of our leverage for example to support our customer base. So having said this clearly the new tool for us is a way to get back to a higher market shares. On the other side I think it's really – various activities which we put into place in order to get back. The second question regarding cost reduction it's clear that the target for 2015 overall the question is whether we have already achieved that in the initial quarters. This is our goal basically to achieve it for 2015 overall. Regarding the gross margin I mentioned a couple of times I think our problems now we’re putting up also much of regarding basically the better pricing situations and the new tool which I think I addressed a couple of times but I think also in order to improve our cost base and manufacturing cost including the material cost and that’s something which we actually started now. I have to say during the last year I don’t know if you remember we have a couple of issues on the qualities, in 2013 a significant part of our R&D focus was really to improve – to get rid of some of these issues. So now actually this is behind us. Also I think the new tool is now developed and therefore the focus of the R&D team is also on these cost activities.
Operator: The next question comes from David Mulholland from UBS. May we have your question please.
David Mulholland – UBS: Two questions, I think firstly just on the next gen tools, I wonder given the progress you’re making with customers if you can give us any color – if you have received any order so far for the next gen tools whether they are booked or not [ph] and whether you’re confident on the pricing expectations around this that it could get you towards the 40% gross margin that also talks about in the past (indiscernible) afterwards.
Martin Goetzeler: Actually as I said, as we speak we ship new tools most of our customers are starting with the qualification process so they buy initial tools and therefore I think also to answer your second question is maybe too early to answer. We’re confident that we get significantly better pricing that will be decided later on when we talk about the larger bill orders.
David Mulholland – UBS: And just on the OVPD, in that market, it sounds like you’re making some progress there but I wonder if you have certainly on the – there was a tool if I remember right, that you shipped to Asia in 2012 next gen, 3.5 so I just wondered if you can give us an update on the progress of that customer and how you feel in terms of timing as to when you might start being able to talk a bit more about the OVPD opportunity and get a bit more confidence from customers on the adoption of the technology.
Martin Goetzeler: Yes the order you’re referring to in 2012, it's a finished project we have our OLED. The focus here was actually not on OLED it was a different kind of tool but I think it's also important that the technology was basically very similar. Regarding the OVPD which is our organic, our tool for the OLED market and here in the first phase clearly was referring to display. I can repeat what I said, I think we have now installed this R&D cluster. I mentioned that in last quarter, we’re in the process really very heavily loaded this tool now on doing demos for several customers. As I mentioned we have good feedback. There is still some way to go to get and fully qualified, at the same time we are basically setting up this Gen8 tool in order to scale up for the display and particularly for the TV display market and we’re here well on track. So overall I would say we’re optimistic and we see and refocus on the benefits of our tool. I’ve mentioned that a couple of times it's about the throughput, it's about our material consumption. There are several aspects where our tool is beneficial to the mission [ph] technology and therefore we continue to be very optimistic. Nevertheless it's still in qualification as I mentioned and that’s an ongoing process.
Operator: The next question comes from Gerhard Orgonas from EXANE BNP Paribas. May we have your question please.
Gerhard Orgonas – EXANE BNP Paribas: Two quick question please. First question, could you please split your H1 revenues into MOCVDs compound semiconductor and into silicon semiconductor equipment and the second question is you expect to see new tools this year but you’re expecting flat sales, so does that mean that now for the rest of this year you don’t actually expect an upturn of the LED market in terms of demand for overall tools?
Martin Goetzeler: Now as a new tool, we’re in qualification which means before we have couple of customers basically qualified the tools we do not recognize any revenues. So that will happen only when basically of this qualification process is finished and then we clearly will also show the related revenue and since most of the customers right now are looking into basically the process and their device is qualified on the new tool, it will clearly be the focus first on qualifying the tool and then they will order that also in larger quantities. But that all will depend clearly on the customer we’re talking about if they are early or later invoiced in the process. Regarding the split of the sales. I mentioned that our silicone business is also impacted by this CapEx cycle so it was a little bit lower in H1 than last year. So overall the MOCVD business was 87% and therefore about three quarters, so 75% was related to LED which also reflects what I said before that the demand for LED equipment is growing.
Operator: The next question comes from Andrew Humphrey from Morgan Stanley. Please ask your question.
Andrew Humphrey – Morgan Stanley: Just a couple if I may on the new generation tools, can you give an indication of what sort of savings your customers need from the new tool in order to place substantial orders on a total cost of basis or however you would like to quantify that and then you say you have had a good feedback on the new tools, can you say on what specific areas customers like as an improvement? What specific features they like compared to what else maybe in the market at the moment?
Martin Goetzeler: The improvement I think depending on the customers is reduced between 30 and 50 can be for some certain customers also go beyond this. So I think there is a lot of incentive also for the customer to think about this next generation tool because it really gives them significantly reduced cost of ownership but what they like about this tool and I think that also to see as a compared to the learning’s we had over the last year or so, we introduced for example an automation part out to the tool. It's clearly also the additional capacity and still giving this high level of let’s say very good quality and homogenous deposition in the reactor. So it's a set of several transactions. Also I have seen the maintenance cycles, we were able to expand so that has another positive impact.
Operator: The next question comes from Andrew Huang from Sterne Agee. Your line is open now.
Andrew Huang – Sterne Agee: Apart from these better performance metrics of the new tool, can you share with us some of the other things you’ve been doing with customers to regain share in China? And then I’ve a quick follow-up.
Martin Goetzeler: I think if you refer to China actually there is various activities which we addressed over year. (Technical Difficulty) team, I think we have significantly strengthened our local team also. We’re working very closely with the customer base. We installed a couple of so called key customer satisfaction and it's mainly China who work as a link between the customer, the local team and here our R&D and service headquarters. So then we have clearly also improved and worked hard with the customers in order to show the quality of our products and our laboratory which we really fully used over the last year. So there were many actions I have, personally, quite often in China over the last year. So there have been a couple of actions in order to support our activities in China and to support our customer base.
Andrew Huang – Sterne Agee: And then for my follow-up, it seems like some of your customers in China are once again receiving subsidies for the purchase of MOCVDs. So can characterize the potential magnitude of these subsidies in this coming investment cycle?
Martin Goetzeler: This is a little difficult for me to give you an answer on this question. What we hear is that these subsidies are not on a federal but more on a provincial level and therefore they vary and they really have also I think some further prerequisites compared to the past. But to be in detail I don’t know for each of these provinces.
Operator: The next question comes from Youssef Essaegh from Barclays. Your line is open now.
Youssef Essaegh – Barclays: I just wanted to try and see how you guys are seeing the demand environment at the moment. Do you think that today there is some sort of pent up demand building until the new tool is ready qualified and people are maybe ordering slightly less today in order to order maybe more slightly later and then I have a follow-up. Thanks.
Martin Goetzeler: This is not an easy question to answer. I would – you can look at from many angles. First of all I mentioned that clearly today we see a very good sell-in so LED in lightening is really happening as we speak and I talked about this many times in our calls and it's really the penetration application by application is growing, region by region is growing. A lot of it and right now is in (indiscernible), we have to see how much it will sell-out. So this is clearly something customers look into. Secondly they also look into the next generation tools that’s clearly something which they also do but they continue to optimize the utilization of fixing equipment and also using upgrades and expanding from 4 inch to 6 inch or from 2 inch to 4 inch. So there are many activities, nevertheless we’re as we mentioned we’re optimistic that this will at a certain point then also turn into additional orders.
Youssef Essaegh – Barclays: And it was kind of answered earlier but I want to get back into this one. Given the entire productivity, you talked about 30% to 50% better. Do you have already a sense of how much in terms of volume of shipments of MOCVD tools the new machines are going to impact basically the run-rate that you have had historically? Thank you
Martin Goetzeler: This is as we said it's difficult for us to predict the timing and the extend of this recovery. We feel optimistic that the new tool is a good value proposition and therefore we see with a certain degree of optimism now looking forward.
Operator: The next question comes from Jonathan Dorsheimer from Canaccord Genuity. Your line is open now.
Jonathan Dorsheimer – Canaccord Genuity: I guess the first one just as it relates to cost cutting to further cost cutting, just to clarify you are expecting OpEx to be in the range of €80 million for ’15. I was wondering if maybe you could provide some further clarity on how you plan to achieve that particularly with growth from the new tool as you’re able to start recognizing those revenue. So is this coming primarily from touch in R&D or how do you plan to achieve that sort of €10 million on presumably higher revenues?
Martin Goetzeler: It's clear that to a large degree OpEx is not volume depending as to a large degree and therefore I think what we would like to emphasize is still clearly the focus is on process improvement and project execution and that will allow us then to reduce the expenses without losing effectiveness and therefore it's not a project in order to lower headcount but to drive efficiency and reduce discretionary spending. In addition our R&D spending in 2014 should peak due to various MOCVD programs also triggering external spending. So it's a various activities which we put together in order to achieve the 80.
Jonathan Dorsheimer – Canaccord Genuity: Then my follow-up question has to do with your silicon business, it looks as if that business did under a €1 million for t quarter down from 5 million in Q1 and a run-rate of about 12 million in ’13. Do you expect that business to comeback, is this sort of a the new normal I guess of that business. I was wondering if you could provide any additional clarity on what we should be expecting in the silicon business.
Martin Goetzeler: It's true and I mentioned that in my presentation that based on this CapEx cycles of our investors this could fluctuate. I also mentioned that I think in the previous call. So that’s not the level of sales in this area and I can already say that already this quarter we again shifted through the right at the beginning of the quarter. So it's really depending on the cycle – the CapEx cycle of our customer.
Jonathan Dorsheimer – Canaccord Genuity: I guess maybe just on that point, if ’14 – so if what you’re implying is that we have reached sort of bottom in the silicon from a cycle perspective in that business. Should we be expecting ’15 to look more like ’13 or look more like ’14 in that business?
Martin Goetzeler: I think I mentioned that we have one qualified customer and we clearly expect that we come back here in this area. The real demand or the real let’s say level of revenues over the next year, it clearly also depend on the qualification of the two others. So it's right now, we’re clearly targeting numbers above 2014 that’s clear but the real extent will depend on the qualification of the other two customers.
Operator: The next question comes from Sandeep Deshpande from JPMorgan. Your line is open now.
Sandeep Deshpande – JPMorgan: Can I ask a question, you have in this release you seem to be much more positive about your new tool than you have been before. Can you give me some – have there been particular customers who have said that they will begin using your tool in the second half of the year or whenever you begin to ship and are these customers among those who have not used your tools before or are they historical customers and I have a one follow-up.
Martin Goetzeler: The tools we shipped or we’re going to ship this really depends – this can be new customers but it can also be customers who bought from us in the past. As I said I think we get positive feedbacks. Positive as the inquiry levels, that’s what is encouraging. However we still and that’s also mentioned have to finalize the qualification. So overall we’re more optimistic but we still have some home work to do.
Sandeep Deshpande – JPMorgan: Okay and following up on your silicon tool, did you say that you were looking to qualify your silicon tools with two additional customers beyond the one that you have at this point? And where are you on that qualification or can you mention on a scale of 1 to 5 do you think that this qualification is possible given that historically you have not been in many semiconductor customers.
Martin Goetzeler: As I mentioned we’re addressing the memory market here and you know you’ve not so many customers to choose from so we’re working with these customers that have demo tools in order to qualify their processes and their devices. So we have road maps that we worked with them over a certain period and depending and I clearly cannot disclose this but they are clearly depending on this roadmaps that before they make decision. So besides one we’re qualified there are two more.
Operator: The next question comes from Tammy Qiu from Berenberg Bank. Your line is open now.
Tammy Qiu – Berenberg Bank: I will say firstly your competitor if releasing their new generation tool at the same time, how do you feel in terms of competition between your new tool and their new tool because I believe they also saying something similar on their productivity improvement with their new tool.
Martin Goetzeler: For me it's difficult to comment on competition and I didn’t do this in the past so I wouldn’t do this now. For us it's important that we focus on our strengthens and our road maps and our collaboration with the customer base. So what I’m referring right now is the feedback we get from our customer base.
Tammy Qiu – Berenberg Bank: Okay. And also if you’re facing competition – yourself and your competitor, will you actually use pricing as a weapon to win the market share in China. So we like to see gross margin to be kept at certain level as we’re seeing today or do you think market share wouldn’t be coming in expense of gross margin?
Martin Goetzeler: For me I think the decisions will be made on cost of ownership and on the value that we can provide to the customer base and that will be the primary driver for the price.
Operator: The next question comes from Jürgen Wagner, MainFirst Bank. May we have your question please.
Jürgen Wagner – MainFirst Bank: We frequently hear about new competitors in China, do you come across these at all or do you think with the new tool you can leave them completely behind? And the second question, what are your Korean LED customers currently saying regarding their cap expense going into next year?
Martin Goetzeler: We know that the Chinese manufacturers of MOCVD do towards – two of them have now couple of tools to customers for qualification and I said we always take competition very seriously. On the other side, as I always say we have to focus on our strengths. We have to drive innovation and improve the quality and the cost of ownership for our customers and then I think we will stay competitive. The second question was related to Korea, here it depends on the different customers and their road maps that can differ and I would ask for your understanding that I will not go very much in detail in this.
Jürgen Wagner – MainFirst Bank: Next year you would – you mentioned a market improvement but you would say you don’t see that in Korea, that’s right?
Martin Goetzeler: I didn’t say that. I said I would abstain from commenting about Korea because whatever I comment you could conclude it to a customer and I don’t want to talk specifically about customers.
Operator: The next question comes from Peter Knox, Societe Generale. Your line is open now.
Peter Knox – Societe Generale: Can you just give us a little bit more of color about actually compares to your [ph] customer levels, you have been said sometime (Technical Difficulty) and we heard data points of very high utilization rates. So it seems as it's something a bit more than just kind assume the customer – manufacturing chain is – do you see here. Is it just a question about the availability (indiscernible) or do you think we need to actually go through a further more (indiscernible) actually that’s not been fired up yet or is there an M&A cycle at customer base which you fear might delay (indiscernible).
Martin Goetzeler: I have mentioned several – first of all as it is also now, as we speak capacity we’re selling every quarter a couple of tools so that’s our competition. So there is additional capacity going online every quarter – the question is what about the momentum, the increase in momentum and Peter I mentioned also that we have – there are several reasons why that might be a little bit delayed maybe from your perspective. And one thing as I mentioned is clearly to look, to see what the new tool can basically achieve before investing into maybe the previous technology. So there are some customers who really look into this and may delay some of the investments but that’s I think that’s only a temporary effect.
Operator: The next question comes from Mark Heller from CLSA. May we have your question please.
Mark Heller – CLSA: We have seen some consolidation activity in the LED sector recently from those after tax. I’m just wondering how much of an impact do you think that will be on future MOCVD demand or they will have any impact on demand trends?
Martin Goetzeler: When we do our planning and forecasting of the market going forward, we really assume that all tools are used fully. So, from our model point of view it has a limited impact on our review and forecasting. If there is a case that the one of the players is underutilized that could have an impact but we always said also that there will be a consolidation in the market going forward therefore this was a trend which is just conforming what we said actually over the last couple of quarters.
Mark Heller – CLSA: And can you tell us about your expectations for cash usage for the end of the year? Do you expect to continue to burn cash? Thank you.
Martin Goetzeler: Due to the qualification tools we’re putting now at the customers and also additional R&D investment particularly for this next gen tool and for the OVPD for our OLED activity. We expect that as revenue level as it's level for the next – going forward as we said in our guidance and we would also expect a certain level of cash flow.
Operator: The next question comes from Christian Rath, HSBC. Your line is open now.
Christian Rath – HSBC: Can you comment a bit on the lead time that you currently have for the new machines, I mean how many tools you would be able to supply?
Martin Goetzeler: This is a very good question because I spent also a couple hours lately on the launch of the new product and the ramp up together with certain results of supply base. That’s clearly something that we’re working on. Our goal is basically to significantly reduce our cycle time but as you can imagine the initial tools will take a little bit longer because we have to basically train the team from a service side, from a manufacturing side, from a testing side. So there is at the beginning it's a little bit longer cycle whereas going forward than we expected we will significantly reduce our cycle time and that’s part of our supply chain activity as well. Nevertheless, as I said we expect that we will ship the couple of tool over the next couple of quarters.
Guido Pickert: Thank you. At this point we will have to conclude the AIXTRON first half 2014 earnings call. Thanks for joining us and your questions. If you’ve any additional questions you know where to find us. Please don’t hesitate to contact either IR or our IR Manager Andrea Su in California or us here in Germany. Thanks for your interest, and good-bye.